Operator: Good morning, and welcome to the Second Quarter 2012 Earnings Release Conference Call for FMC Corporation. [Operator Instructions] I will now turn the conference over to Mr. Andrew Sandifer, Vice President, Strategic Development and Investor Relations for FMC Corporation. Mr. Sandifer, sir, you may begin.
Andrew D. Sandifer: Thanks, Shannon. Welcome, everyone, to FMC's Second Quarter 2012 Conference Call and Webcast. Joining me today are Pierre Brondeau, President, Chief Executive Officer and Chairman; Michael Wilson, President, Specialty Chemicals Group; and Kim Foster, Executive Vice President and Chief Financial Officer. We have a full agenda today. First, Pierre will begin with a review of our second quarter performance. Mike will then provide an in-depth review of the BioPolymer and Lithium businesses that comprise our Specialty Chemicals Group. Following this review, Kim Foster will report on our financial position. Next, Pierre will update you on our significant progress in delivering our Vision 2015 strategic plan. Pierre will then finish our prepared remarks by providing our outlook for the third quarter and full year 2012. We'll then complete the call by taking your questions. Joining Pierre, Kim and Michael for the Q&A session will be Milton Steele, President, Agricultural Products Group; and Mark Douglas, President, Industrial Chemicals Group. Let me remind everyone that our discussion today will include certain statements that are forward-looking and subject to various risks and uncertainties concerning specific factors that are summarized in FMC's 2011 Form 10-K, our most recent Form 10-Q and other SEC filings. This information represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Our discussion today will focus on adjusted earnings for all income statement and EPS references. The definition of adjusted earnings and certain other non-GAAP financial terms that we may refer to during today's conference call are available along -- under the heading of Glossary of Financial Terms on our website, www.fmc.com. Also, on our website, we posted our current 2012 outlook statement, which provides our guidance for the full year and third quarter 2012, as well as a reconciliation to GAAP for the GAAP -- non-GAAP figures we'll use today. And finally, share and per share financial data discussed today reflects the 2-for-1 split of FMC's common stock that was completed on May 24, 2012. It's now my pleasure to turn the call over to Pierre Brondeau. Pierre?
Pierre R. Brondeau: Thank you, Andrew, and good morning, everyone. As you saw in our earnings release last night, we delivered another strong quarter, with earnings per share up 20% versus the prior year period, continuing a trajectory to deliver another record year for FMC. Let me walk you through the company's overall results for the quarter. We delivered adjusted earnings of $0.92 per diluted share, an increase of 20% versus the year-ago quarter. Total company sales of $905 million increased $93 million, or 11%, versus last year. The strong performance was led by continued robust performance in our Agricultural Products segment and with sales growth in all businesses. Sales grew most rapidly in Latin America, up 32%; followed by Asia, up 13%; and North America, up 9%. Sales in Europe, the Middle East and Africa, or EMEA, decreased slightly less than 4%, reflecting principally the impact of a weaker euro. Gross margin of $341 million increased by $42 million or 14% versus last year. Gross margin percent of 37.7% improved by 88 basis points over last year, driven by higher selling prices, higher volumes and improved mix, only partially offset by higher cost. SG&A and R&D of $148 million increased $18 million, or 14%, largely due to increased spending on targeted growth initiatives. Adjusted earnings before interest and taxes of $127 million increased $16 million, or 15%, compared to last year. Let's now take a more detailed look at the performance of each of our operating segments in the quarter. First, in Agricultural Products. Second quarter sales of $394 million increased 19% versus the prior year quarter, with substantial sales gain in Latin America and North America. Latin America sales growth was driven by continued strength in sugarcane, growth in soybeans and sales from a new market access joint venture in Argentina. North America showed strong demand for proprietary herbicides and higher insecticide sales due to strong pest pressure and growth in the corn segment. Asia and EMEA sales were marginally down versus the prior year period. Segment earnings for Agricultural Products of $111 million increased 18% versus the year-ago quarter, driven by strong volume growth, partially offset by higher spending on targeted growth initiatives. Another development of note for our Agricultural Products Group in the quarter was the reapproval of bifenthrin for use in the European Union by the Standing Committee on the Food Chain and Animal Health. Bifenthrin has long been recognized as a valuable and effective crop protection product by growers around the world. It is a unique, versatile insecticide that works quickly on a range of destructive insects. It will once again be available to growers in the EU, where it will be registered for oilseed rape, cereals, vegetables, ornamental and other uses. FMC will also continue to develop new and innovative formulations for this product, which should lead to increased sales and market shares in key EU markets. Though we are very excited about this news, due to the time line to register bifenthrin across target countries in the EU, we do not expect any sales or EBIT impact until 2014. Moving now to Industrial Chemicals. Revenue in Industrial Chemicals increased 9% to $277 million, driven by higher selling prices across the segment, especially in soda ash and volume growth in soda ash and specialty peroxygens. Segment earnings of $43 million increased 18% as a result of the sales gains and the continued favorable mix shift in peroxygens towards specialty applications, partially offset by an anticipated production downtime in soda ash. In soda ash, we continue to see higher overall selling prices versus the prior year. Domestic prices showed continued year-on-year improvements and, as you saw, we announced in July a $10 per ton increase in off-list soda ash prices. As is the case every year, this increase will have very low impact on 2012 results since the vast majority of domestic contracts have prices fixed for the calendar year. These price increase announcements does, however, form the basis for 2013 contract negotiation, which typically occur in November and December. Export prices overall were also up year-over-year in the second quarter. In Asia, soda ash prices declined sequentially in the second quarter as anticipated in the first quarter call, following the slowdown in soda ash demand growth in China that impacted export prices in Asia. Soda ash prices in Asia were, however, still up high-single-digit percent compared to the prior year period. As sales to Asia represent less than 1/3 of our total soda ash exports, sustained price increases in Latin America and other export markets helped maintain the upward trajectory of overall soda ash export prices. Soda ash prices within China and Chinese export markets are both now at or below Chinese producers' cash cost. In the mid-term, we are confident that prices in Asia will rebound due to a combination of demand recovery and the continued cost pressures related to energy, raw materials, labor and currency appreciation. That said, we expect to see continuing pressure on Asian soda ash prices as we enter the third quarter. In light of these changes in domestic and export pricing, we now expect our global average selling price for the year to be up in the high-single digits on a dollar-per-ton basis. Soda ash volume was also up in the quarter, but growth was limited by unplanned production downtime at our Green River site. The issues were one-off in nature and have been resolved. Overall, a very positive quarter for our soda ash business. Moving to our Peroxygen business. Peroxygens delivered sales growth in the quarter with somewhat higher volumes, higher prices and improved mix. We continue to be pleased with the transformation of the Peroxygens business with steady growth in a targeted specialty application in the quarter. The new Environmental Solutions business, formally launched in May, is well underway. With a focused growing team now on the ground, we're excited about the future contribution of this business to Industrial Chemicals' overall growth goals. Let's now move to our Specialty Chemicals segment for an in-depth review of our BioPolymer and Lithium business. But for Specialty Chemicals, I'll turn the call now over to Michael Wilson. Michael?
D. Michael Wilson: Thank you, Pierre, and good morning, everyone. I'm pleased to review with you the current performance and outlook for our Specialty Chemicals Group. After updating you on our second quarter performance and near-term outlook, I will share some insights on the terrific progress we're making in the strategic evolution of our BioPolymer business. I will also address some of the mid-term issues facing our Lithium business as we continue on our path to delivering Specialty Chemicals' portion of FMC's Vision 2015 strategic plan. First, a review of second quarter performance. Revenue in Specialty Chemicals was $235 million, up 3% versus the year-ago quarter, driven by higher selling prices in all businesses and strong volume growth in specialty food ingredients. The revenue gain was partially offset by unfavorable exchange rate impacts from the weakening euro on the BioPolymer business. On a constant-currency basis, Specialty Chemicals sales were up 5% versus the prior year period. Segment earnings of $53 million were down 6% from the prior year quarter as anticipated, with higher prices across the segment offset by higher manufacturing costs in Lithium, higher raw material costs in BioPolymer, increased investment to support growth initiatives such as the natural colors effort in BioPolymer and unfavorable exchange rate impacts. BioPolymer delivered another solid quarter, achieving record EBIT. Sales grew in the low-single digits, driven by price increases and stronger volumes, particularly in food ingredients, which were partially offset by the impacts of a weaker euro, affecting mainly pharmaceutical ingredients. Lithium sales growth was driven by continued price increases as the lingering impacts of the operational issues we faced in the first quarter kept volumes flat and continued to affect costs and efficiencies in the quarter. Combined with the sustained high inflation in Argentina, this led to weaker profitability in Lithium as compared to the prior year period. Sequentially, Lithium profitability improved versus the first quarter of 2012, but continues to be well below our expectations. I will address our expectations for improvement in Lithium in a few moments. Looking ahead to the third quarter and the remainder of the year for Specialty Chemicals, we expect third quarter segment earnings to be down approximately 5%. In BioPolymer, higher selling prices and volume growth will be offset by higher raw material costs and increased spending on targeted growth initiatives. In Lithium, poor evaporative conditions during the Argentine winter have not allowed brine concentrations to recover from the impacts of the heavy rainfall and flooding in the first quarter as we previously expected. This has limited our ability to exploit the capacity expansion brought online in the first quarter and will result in continuing capacity constraints and higher manufacturing costs through the third quarter. For the full year, we expect revenue to be up approximately 5%, driven by higher selling prices across the segment and volume growth in BioPolymer. We anticipate full year segment earnings to be flat, with sales gains offset by production constraints and continuing cost increases in Argentina and Lithium, as well as higher raw material costs and increased spending on targeted growth initiatives in BioPolymer. I should note that while we expect considerable improvement in Lithium earnings in the second half of 2012, with earnings essentially doubling versus the first half, we will not see significant benefit from the recent expansion until the fourth quarter. Let me now share with you an overview of the significant progress we are making in the strategic evolution of our BioPolymer business, particularly in the area of specialty food ingredients. When we launched FMC's Vision 2015 strategic plan in 2010, we established several strategic imperatives for our BioPolymer business, including 4 specific imperatives for our food ingredients business: invest in core products to strengthen our leadership position, leverage customer relationships by broadening our texturant portfolio, increased participation in higher-growth, high-value added ingredients and expand our RDE position by investing in growth markets. I'm pleased to report that we've made substantial progress on each of these imperatives. We have reinforced our leadership position in colloidal microcrystalline cellulose, or MCC, and alginates through a series of capacity expansions in our Cork, Ireland; Haugesund, Norway; and Newark, Delaware facilities. And last week, we announced that FMC's Board of Directors has approved a $100-million-plus investment to build a new MCC plant in Thailand to serve the rapid demand growth for this highly differentiated food ingredient in Asia. In addition, earlier today, we announced yet another major new development: FMC's entry into the pectin market through the acquisition of Pectine Italia. We have, for many years, explored opportunities to add pectin to our portfolio of texturants as it complements our existing product line well, particularly for low-pH applications. Our technical team already regularly works with pectin in solving specific customer problems. Pectin is a sizable global market, roughly $650 million in 2012 and is growing into high-single digits annually, substantially faster than the overall food ingredients market. We're confident we can leverage our global market knowledge and deep customer relationships to grow this business into a meaningful product line for FMC, approaching $100 million in the 5-year time horizon. While our initial entry into pectin is small, as with many of our external growth investments, Pectine Italia is rich in technology and know-how. It will provide the basis for future organic and inorganic investments as we build out this product line. Pectine Italia is also strategically located near important raw material sources. We expect to close this acquisition by the end of the third quarter, and we'll certainly share more about our plans in pectin at our December Investor Day. We are equally as excited about our substantial progress in natural colors. Natural colors is an even faster growing market than pectin. Roughly $750 million in size today, the natural colors market is growing at least 12% per year, or 3x the rate of the overall food ingredients segment. This growth is driven predominantly by the strong consumer pull for more natural ingredients in food products, which is driving a worldwide conversion from synthetic to natural colors. The natural colors market is currently fragmented, with only 2 truly global players and a large number of local and regional companies who lack the customer access and global reach to fully capitalize on growth opportunities. FMC first entered the natural colors market in late 2011 with the acquisition of BioColor business of South Pole BioGroup, a Chilean-based company that was an emerging technology leader in natural colors. In June of this year, we acquired Phytone, Ltd., a more established natural colors company based in the U.K., which was led by 2 technical and commercial pioneers in the natural colors industry. With both BioColor and Phytone, the previous owners have remained with FMC in advisory capacities as we build our technical depth. We see tremendous potential for natural colors as a part of BioPolymer's food ingredients franchise. As with pectin, we plan to build this into a $100-million-plus product line for FMC over the next 5 years through a mix of continued acquisitions and focused organic investments in additional manufacturing, commercial and technical capacity. And finally, as I hope is clear through the various actions I've highlighted thus far, through acquisitions and new plant investments, we are greatly increasing our participation in rapidly developing economies. This is a very exciting time in BioPolymer's food ingredients business, and we have great expectations for this business to continue to be a key franchise for FMC going forward. However, I would be remiss to focus exclusively on the food ingredients portion of BioPolymer in my comments today. The FMC BioPolymer pharmaceutical ingredients business continues to be an anchor franchise for FMC as well. The MCC capacity expansions and the new Thailand plant that I mentioned earlier will also support continued growth of our pharmaceutical ingredients franchise, particularly our leading line of Avicel brand MCC tablet binders. We continue to build our RDE presence in pharmaceutical ingredients, especially in India, where we will open a new customer technical support lab later this quarter. Turning now to FMC Lithium. We continue to have high expectations for growth and profit improvement in this business. The global market for lithium, at roughly $1 billion today, is sizable and growing rapidly. We continue to expect robust growth in global demand for lithium from roughly 100,000 tons of lithium carbonate equivalent, or LCE, in 2010 to above 260,000 tons of LCE by 2020, an overall compound annual growth rate of approximately 10%. This growth comes from a combination of sustained low-single digit growth in traditional, industrial and polymer applications, coupled with high-teens growth in demand for energy applications broadly, including electronic devices, transportation and other emerging applications. So the demand side looks very promising for lithium, both in the near and the long term. On the supply side, we continue to believe the existing industry leaders are best positioned to supply the growing needs of the market. While there's much attention paid to early-stage development projects in lithium around the world, no new source has been successfully commercialized in over a decade as the technical and logistical challenges in exploiting lithium reserves are formidable. The existing industry leaders are situated on the best resources in the world and will continue to have a substantial cost advantage over new entrants. Further, the existing industry leaders have deep technical expertise in the extraction and purification of lithium that new entrants cannot readily develop. And while lithium pricing continues to increase, the likely cost position of many new entrants is such that even with strong price increases, they will be challenged to make a reasonable return on investment. That said, FMC's current lithium base in Argentina does face some challenges. Putting aside the recent operational issues, which are well understood and being addressed, the biggest obstacle to continued long-term supply growth for FMC is the current political and economic situation in Argentina. While the stand-alone project economics of reinvesting at a proven, existing reserve are compelling, the current high inflation and challenging political/economic environment make it difficult to commit to a significant investment decision in Argentina at this time. Consequently, as we shared with you in last quarter's call, we have delayed any decision on future expansion in Argentina through the end of the year as we continue to monitor the situation there. Meanwhile, we're evaluating other capacity alternatives outside of Argentina. Let me be clear, FMC is committed to the Lithium business for the long term. We have deep technical expertise in both operations and applications and strong customer relationships that support a long-term successful position. And we have multiple options for future expansion, including in Argentina if the situation there improves. We will update you as we advance our future capacity plans, and I expect to be able to provide clear direction on our path forward in the near future. In the meantime, we will continue to work with customers to maintain our leading positions, particularly in energy applications. So in summary, for Specialty Chemicals, I'm very pleased with our progress in driving strategic evolution of our businesses. We are greatly strengthening our BioPolymer franchise, positioning it for continued strong performance over the long term, and we will maintain our leadership position in the global lithium industry. The outlook for Specialty Chemicals Group is bright, and I'm honored to lead the talented group of FMC employees driving our efforts. With that, I'll now turn the call over to Kim Foster, who will be happy to answer any questions during the Q&A.
W. Kim Foster: Thanks, Michael, and good morning, everyone. Today, I'll report on our free cash flow, the recent stock split and finally comment on our tax rate. First, as a reminder, free cash flow is defined as after all uses, except acquisitions, dividends and share repurchases. We are reaffirming our previous forecast of $200 million to $225 million for the year. As previously stated, the full year free cash flow guidance included -- includes forecasted capital expenditures of $250 million. Through the first 6 months of 2012, cumulative free cash flow has been $153 million, which includes capital spending of $81 million. Clearly, the pace of capital spending in the second half of the year will be significantly in excess of the pace during the first half. This will include the first phases of the Asia MCC plant project that Michael described to you a few moments ago; completion of the Newark, Delaware MCC expansion; as well as other smaller expansion projects and maintenance projects across all of our businesses. As I mentioned during the first quarter conference call, our Board of Directors declared a 2-for-1 stock split of our common stock at the April board meeting. The split was affected in the form of a distribution paid on May 24, 2012, to shareholders of record as of the close of business on May 11, 2012. Trading in the common stock on a post-split basis began on May 25, 2012. Consequently, we all need to adjust our key metrics by 2. For example, our previous full year guidance of $6.80 to $7.05 per diluted share translates to $3.40 to $3.52 per diluted share. And our shares outstanding are revised from 69 million shares to 138 million shares. And, of course, our 3-digit stock price is now on its way back to the 3-digit level. Regarding share repurchases, our strategy of returning cash to shareholders continues to balance prudent financial policy with the competing demands of investments to support organic growth and the capital to support selected external investments. While we have $245 million of repurchase capacity remaining under our existing board authorization, we made no additional share repurchases in the second quarter as we prepare to fund heavy capital spending in the second half of this year. Moving to taxes. Let me note that we are now forecasting a full year tax rate of 27.5%, 50 basis points higher than our previous forecast. This increase is driven by significantly higher profits in the United States, largely due to higher sales of ag products in the first half of 2012. The tax rate in the second quarter was 28%, and the tax rate for the last 2 quarters is projected to be 27.5%, which will result in a full year tax rate of 27.5%. With that, I will now turn the call back to you, Pierre.
Pierre R. Brondeau: Thank you, Kim. And I must say, we are fortunate to have one of the best CFOs in America in our ranks, as recognized yesterday by The Wall Street Journal. Well deserved, Kim. Before we get into outlook for the third quarter and the full year, I'd like to give you a brief update on Vision 2015 progress. As we begin the second half of 2012, I am pleased to report that we continue to be well on plan toward realizing our Vision 2015 objectives. First, relative to our key P&L objectives, 2015 sales in excess of $5 billion and EBIT of $1.2 billion. We continue to deliver results at or above the trend line required to reach these targets. In terms of return on capital, we are delivering results on average invested capital well above our commitment of sustained mid-teens. In fact, return on average invested capital in 2011 was 23.9%, a strong performance, well above our minimum commitment. We continue to show improved earnings stability, especially in our Industrial Chemicals Group, reflecting the strength of our portfolio and impact of actions we took in 2010 and 2011 to exit the underperforming and highly volatile phosphate and sodium percarbonate business lines. As Kim has highlighted, we remain disciplined stewards of cash with a balanced deployment among organic and external growth investments and return to cash to -- of cash to shareholders. In fact, not quite halfway through our Vision 2015 plan cycle, we have already returned or have committed to return $750 million to shareholders through share repurchases and dividends. This is more than half of the minimum commitments of returning $1 billion of cash to shareholder that we announced at the launch of the plan. So from a cumulative perspective, we are making great progress. Beyond the metrics, we also delivered against our overall Vision 2015 strategic imperatives in the first half of 2012. First, growing our leadership position. As Michael described, we broadened our specialty food ingredients platform with the acquisition of Phytone, Ltd. in the natural colors space and the announced signing of a definitive agreement to purchase Pectine Italia. Increasing our reach. We continue to increase our participation in rapidly developing economies with sales in RDEs at 25% in the first half of 2012 and sales in RDEs representing nearly 47% of the total company sales for the last 12 months. Capturing the value of common ownership. We continue to shift from a highly centralized organization to a balanced centralized/decentralized model that better leverages our size and scale and to act as one FMC where it matters, realizing efficiencies while maintaining stronger contact with our business units. Our global procurement team is making great progress, and we're on schedule to deliver projected cost savings. Our operations group is also making great strides in building excellence in operations, supply chains and environments, health and safety across FMC. We are beginning several exciting initiatives on the operations area, particularly around manufacturing efficiency improvements. I will share more on this effort in the future. Proactively managing our portfolio. Industrial Chemicals' portfolio has been an area of focus. We've addressed businesses that were competitively disadvantaged and underperforming for an extended period of time. In 2010, we exited the phosphate and sulfate derivatives business. In mid-2011, we announced our exit of the sodium percarbonate business line, which was completed in early 2012. With these moves, Industrial Chemicals has been transformed into a segment with sustained higher margin, greater earnings stability and significantly higher return on assets. Finally, disciplined cash deployment, which I updated you on a few moments ago. In short, we are making exceptional progress towards delivering our Vision 2015 strategy plan, and I and the FMC management team look forward to sharing much more detail and context of our Vision 2015 progress and long-range plans at our Institutional Investors Conference to be held on December 11, 2012, in New York. Moving on to our outlook for the full year 2012. We raised slightly the midpoint of our previous outlook for the full year 2012 and now expect adjusted earnings of $3.42 to $3.52 per diluted share, a 16% increase above last year at the midpoint of the range. Our Agricultural Products segment expects to achieve its ninth consecutive year of record earnings, with year-over-year earnings up in the high teens, reflecting increased volumes, especially in Latin America, North America and Asia, due to strong market conditions and growth from new and acquired product, but partially offset by higher spending on targeted growth initiatives. As Michael described earlier, segment earnings in Specialty Chemicals are expected to be flat for the year. We are forecasting the eighth straight year of record earnings in BioPolymer, with higher selling price and volume growth, partially offset by the impact of higher raw materials costs, increased spending on targeted growth initiatives and unfavorable exchange rate impact. However, segment earnings will be dampened by weak performance from the Lithium business with the operational issues Michael highlighted, as well as continuing cost increase in Argentina offsetting higher selling prices. And now, Industrial Chemicals segment. We expect earnings to be up in the high-teens percent due to higher volumes and selling prices in soda ash and the third consecutive year of record earnings from the Peroxygens business, reflecting the continued mix shift of that business toward specialty applications. Now moving to our outlook for the third quarter 2012. We expect adjusted earnings of $0.70 to $0.80 per diluted share for the third quarter, a 9% increase at the midpoint of this range. In Agricultural Products, we expect third quarter segment earnings to be up approximately 10% reflecting strong growth in Latin America, especially Brazil, partially offset by continued investment in targeted growth initiative. Specialty Chemicals' third quarter segment earnings are projected to be down approximately 5%, as higher selling prices across the segment and volume growth in BioPolymer are offset by higher operating cost in Lithium, as well as higher raw material cost and increased spending on targeted growth initiatives in BioPolymer. And Industrial Chemicals, we expect third quarter segment earnings to be up in the mid-teens percent, driven by higher selling prices in soda ash and specialty peroxygen, volume growth in soda ash and the continued mix shift towards specialty peroxygens, partially offset by a planned maintenance outage in our Tonawanda, New York peroxygens facility. With that, I thank you for your time and attention. I'll be happy to take your questions. Operator, please?
Operator: [Operator Instructions] Your question comes from the line of John McNulty with Crédit Suisse.
John P. McNulty - Crédit Suisse AG, Research Division: Just a couple of questions. First, on your ag outlook, I know, last year, I guess there was an issue with a relatively severe drought down in Texas, and that nicked the quarter and the outlook in the middle of last year. This time around, where we've got a huge drought across most of the U.S., we're not hearing really much of any commentary on that, and it doesn't seem like you're actually seeing much in terms of weakness. So I guess what's changed in your ag business? Or what's maybe helping to offset some of the issues that you may be seeing in the U.S.? And how should we think about that going forward?
Pierre R. Brondeau: Thanks, John. Yes, if you look for us, the ag market in North America is mostly in the first half of the year. So yes, the drought could impact the third quarter in North America. I mean, we could see some impacts on rescue applications for example. But we really expect this to have a very limited impact. In addition, it's important to remember that we have a very global footprint and that our Ag performance in the second half largely relies on Latin America. So at this stage, we do not foresee a major impact of the drought situation in North America because of what I just said.
John P. McNulty - Crédit Suisse AG, Research Division: Okay, fair enough. And then with regard to the -- also sticking to ag, with the reapproval in Europe for bifendal [ph] or bifuden [ph]. Can you give us some clarity as to what that might mean in terms of sales when they do come back in, in 2014?
Pierre R. Brondeau: We -- once again, I want to reiterate the fact that there will be no impact in 2013. We need to have the reregistration process. But it's a multi -- in 2014, it's a multi-ten millions of dollars, which we would be expecting coming from bifenthrin. It's an important product with high profitability.
John P. McNulty - Crédit Suisse AG, Research Division: Okay, great. And then just one last question. When we look at the Specialty Chemicals segment, there's a lot of moving parts between the Newark expansion this year and some of the Lithium issues. And I know 2013 is a ways away. But if we just kind of assume that pricing stays relatively level and the demand volumes kind of stay roughly in line, I mean, how should we be thinking about growth in '13 versus '12? Because it seems like '12 is just unusually kind of artificially low for a whole host of reasons.
Pierre R. Brondeau: If you look at Specialty, we believe that how our BioPolymer business is well established, I think we're going to benefit from the capacity expansion we did in Cork and the one we did in Newark. So this is a high -- a mid- to high-single-digit sales growth business for BioPolymers. And we expect continued growth in this business, which will be even better with the addition of the pectin and the BioColor business. So we can keep on looking at the same time of performance year-after-year we've been having in BioPolymer. Now the big upside for us is obviously Lithium. We do expect to have turned around the performance of the Lithium business during the fourth quarter and not only benefit from better operation, replenished inventory, but also benefit from the capacity expansion. So there should be a significant driving performance going forward, but not in the BioPolymer, which has been stable growth, but by the turnaround of the Lithium business.
Operator: Your next question comes from the line of Kevin McCarthy from Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: I guess a few questions on BioPolymers. First, congratulations on penetrating pectin. I know you've been looking at that for a number of years. Can you speak to the initial sales contribution from the Pectine Italia deal? I think you mentioned it could ramp to 100 million as a category in 5 years. So what might that look like? And then as you broaden the portfolio into both pectin and natural colors, can you speak to cross-selling opportunities in the category?
Pierre R. Brondeau: Yes. I think we have -- what Michael said is when we look at those 2 business combined, it would be a contribution of a couple of hundred million dollars in the next 4 to 5 years. Now today, it is a business which sales are quite small. I think the natural colors business is a few tens of millions of dollars of sales, and the pectin business is more on the single-digit million dollars. What we are doing with the Pectine acquisition is truly acquire a plant, knowledge and the process. And we are going to be, from that acquisition, organically expanding that business by increasing our capacity around the world. So it's a step for us to get the product and the technology and the manufacturing capability. And we're going to grow from this. So in the short term, those businesses have a slight dilutive impact on earnings in the next couple of quarters, should become accretive fairly quickly. But it's mostly an organic growth now from acquired capabilities.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then as a follow-up, you cited some raw material cost pressures. Is that on the lithium side or seaweed for biopolymers or both? Can you maybe elaborate on the sources of increases there?
Pierre R. Brondeau: Yes, the market has been tight. It's mostly in biopolymers, mostly in specialty pulps and -- that we are seeing significant cost pressure.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then final question, if I may, switching gears into Industrial Chemicals. What was the financial impact of the unplanned outage that you had in Green River in the second quarter? And then looking ahead to 3Q, a similar question, what's the anticipated impact of the maintenance outage that you have scheduled there in Peroxygens?
Pierre R. Brondeau: Kevin, we don't go into detail at this level. I would say, for the outage we had in soda ash, it was mostly a problem of tons of product we were not able to sell more than the operating cost. It's a single-digit million dollars impact we see on the business, same range looking at kind of one-time next quarter.
Operator: Your next question is from Mike Harrison with First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: In the Lithium business, Michael, I was hoping that you could help us understand what specific actions you're taking to get operations back on track. And particularly, how does limiting production, in order to increase your pond inventory, contribute to the long-term health of the ponds or operations overall?
D. Michael Wilson: Yes, Mike. As you recall from the discussion at the end of the first quarter, what had happened is we had very unusual rains in the December through February period. So what the impact of that was, was it diluted brine that we have both in pre-evaporation ponds, which is prior to processing, and also our final solar brine. So as we moved into the second quarter, we began to produce more lithium. But because the concentration of lithium in the brine was lower than ideal, that creates a manufacturing inefficiency. You think about the energy that you have to consume, et cetera, I mean, you're processing twice as much water, evaporating twice as much water if your concentration is half of what you would ideally like it to be. So we have sort of suffered through that situation with manufacturing at below optimal conditions and brine concentration for some period of time. And we finally got -- and what we had hoped was that we would see evaporative conditions that would improved that situation over the course of the second quarter. But the reality, as it turned out, was that during the Argentine winter, we didn't have very favorable evaporative conditions, so the brine concentrations haven't improved all that much. So rather than continue to process those brines at low concentrations, we've sort of taken the difficult but necessary decision to scale back production to give the brines time to concentrate so then when we do produce, it will be at an optimal condition, and we'll have a much better cost position for the product that we produce.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And when you talk about limiting production, is it primarily lower volumes of the commodities or primary lithium products or specialties, or both?
D. Michael Wilson: In particular, we've taken an extended outage, maintenance outage, if you will, for our lithium chloride operation. And we're allocating product predominantly to carbonate, which is the predominant feedstock for the downstream products like lithium hydroxide. So as you know, we're sort of preferentially looking at our marketplace and our customers based upon strategic importance and profitability and allocating on that basis. That means that -- that's not to say that we're not still producing any lithium chloride or lithium metal that would be produced from that. But we've clearly shifted the focus of what we are producing, and we're taking that outage on the chloride side.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Right. And then in terms of the Ag business, I know the warm spring weather resulted in some pull forward from Q2, and the view was that we probably, with the warmer weather and early season, might have a bumper crop of pests in North America. Given the drought and just what you've seen through Q2, did customers work through the pesticide volumes that they purchased in Q1? Or were -- is it your view that they were left holding some additional inventories that maybe hurt your volumes in the next growing season?
Pierre R. Brondeau: We're not expecting to see our volumes being hurt. We do not believe. I think they worked more or less through the inventory, and the demand was very strong in the first quarter, very strong in the second quarter. So we do not have worries today about our situation in North America. The strong second quarter, which we saw as a possibility, did happen, and we believe we are in an acceptable situation around the inventory, which is around the supply chain right now.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And then last question, just on soda ash pricing. To what extent are you guys able to shift -- or ANSAC, I guess, export mix away from Asia? And you did comment that Asia export pricing was lower quarter-on-quarter in the second quarter. Can we just get some more detail on how you expect pricing to trend in Asia exports for Q3 and Q4?
Pierre R. Brondeau: I think just to correct one statement, I'll let Mark comment around how we shift on that volume from Asia to other markets like Latin America in which -- how can we do that. Just to correct, pricing was not down quarter-on-quarter. Just to make sure, pricing were down sequentially. But year-on-year, our pricing in China is -- in Asia is still up in export. And Mark, do you want to address the -- how do we potentially shift volumes?
Mark A. Douglas: Sure. Mike, it's Mark. We do have, through ANSAC and through our own direct exports around the world, have some ability to move from region to region as demand sees fit. But as you can imagine, a lot of our business is either quarterly or longer-term contracts, so we are tied to some extent. But we do have some freedom of movement. And in fact, if you recall, in the first quarter, we did talk about the export mix for FMC being very favorable. That occurred because we were not shipping to some countries in the world where we have lower prices. So we do have some flexibility, but it's not probably as much as you imagine.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Alright. And just, Pierre, just so I understand, you were saying export pricing to Asia was higher year-on-year but lower sequentially. Lower quarter-on-quarter. Correct?
Pierre R. Brondeau: Exactly. That's correct.
Operator: Your next question comes from the line of Peter Butler from Glen Hill Investment.
Peter Butler: It seems like you have a rather unusually large amount of investment spending and CapEx, et cetera. And I'm wondering whether this is more than you had anticipated in your 2015 goals or targets. And what I'm hoping you're going to say is that the business has been coming along better; the cash flow, better; et cetera; and this has allowed you the luxury of increasing your investment spending.
Pierre R. Brondeau: Well, we -- Peter, the comment is good and is important. Really, we still have a lot of work to do, and we intend to give a full picture of cash utilization toward capital spend and acquisition when we get together in December at our Investor Day. But directionally, what we believe is capital spending will be higher through the period, that what we were expecting initially when we brought Vision 2015 in place for 2 reasons. One is that our business is growing faster than what we're expecting, leading most likely to higher contribution of organic growth toward our target than we initially thought, and the fact that we had significant capacity limitations. So yes, we should be looking at stronger capital spend. I think, this year, we're contemplating $250 million of capital spending, which is higher than what has been done in the past. So it could be, and we are looking to that at a different balance of cash utilization between capital spending and M&A versus where we were originally planning to spend the money. We still have to do some prioritization. As you know, we have big-ticket items coming toward us like lithium expansion or our Granger II expansion for soda ash. So those have to be prioritized and discussed in terms of timing.
Peter Butler: To circle back on an earlier question, could you give us some semi-quantification of -- quantification of the year-to-year costs or the delta you're going to have in Lithium? It seems like you have a lot of issues this year that you feel that are going to be put behind you going into next year. So what sort of delta in earnings might one expect?
Pierre R. Brondeau: Peter, I'm sorry if I missed some of your questions. It's very hard to, for some reason, to hear you, but...
Peter Butler: Okay, I'll -- let me restate. What sort of delta are you expecting year-to-year in your Lithium business? If you're hurting this year in Lithium, and it looks like maybe next year, you could be back above trend. What's the delta in earnings?
Pierre R. Brondeau: Yes. I mean, it all depends. Delta in earnings all depends how quickly we turn the performance of the business around in the fourth quarter. But generally speaking, if you look at Lithium, we have all the reasons in the world to believe that the Lithium business is a business which has an EBIT-to-sales ratio, under normal operations, in the 20% to 25% range, like most of our business at FMC. This business this year is operating more into the low-double-digit range than the 20% to 25%. So if you look at what we could expect as an upside, that's the kind of differential.
Operator: Your next question comes from the line of Laurence Alexander from Jefferies.
Laurence Alexander - Jefferies & Company, Inc., Research Division: Two quick ones, first on BioPolymers with the mix shift. How do you see now the margin -- the margins trending over the next, call it, 3 years?
Pierre R. Brondeau: I'm not sure, Laurence. The importance of the mix shift, if you talk about mostly food, toward the pharma or -- but generally speaking, to answer your question, margins in BioPolymer are trending up.
Laurence Alexander - Jefferies & Company, Inc., Research Division: I guess do you have a sense for what you think will be sort of the upper limit? Or is the growth going to be 25, 30 basis points a year?
Pierre R. Brondeau: Michael, do you have anything to say? I...
D. Michael Wilson: Yes. I think if you look at -- if you go back to our Vision 2015 plan that we put together, we had margins in the business that were in the low 20s, and we indicated that we expected those to grow to the 25% range by 2015. I think we're still on track to do that. We're obviously making a lot of investments, and I think the acquisitions that we're bringing in are going to bring us the same kind of margins that we have in the business as a whole. So I don't see any reason that it's going to be different than that.
Laurence Alexander - Jefferies & Company, Inc., Research Division: Okay. And if the current economic environment persists for several more quarters, so we stay in a choppy environment, how long -- what's your read for how long it would take for the soda ash pricing behavior to normalize? That is, for the Asian competitors to switch to allow -- moving prices up above their cash breakeven levels?
Pierre R. Brondeau: I think, for us, first of all, even if there is pressure on the business, we are sold out. So we do have a situation where we do not expect to suffer from an underutilization of our assets. From a pricing, today, we are assuming with the context, the economical context we are in, that we're going to see pressure into Q3, potentially Q4. But we believe we are renegotiating contracts going into 2013 with a pretty strong situation.
Operator: Your next question comes from Mike Sison with KeyBanc.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: In terms of your outlook for Industrial Chemicals, you reduced it a little bit from the first quarter plus 20 to high teens. Is that largely due to the maintenance impacts that you have versus, let's say, any significant changes in the fundamentals of soda ash near term?
Pierre R. Brondeau: Yes, absolutely. Absolutely. It's maintenance and operational. Nothing -- no fundamental change. Normal bumps on the road you have when you operate a large facility like the one we had.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Got it. Then in terms of Peroxygens, that continues to be a nice little positive here as you look to transition to more specialty areas. Can you give us an update of roughly where you're at in that strategy?
Mark A. Douglas: Yes, Mike, it's Mark here. I think we've indicated for quite some time that the mix has been roughly 70-30 in terms of commodity to specialty. I think, where we are today, we're more in the 65 commodity to 35 specialty. So we're well on our way in terms of delivering on our Vision 2015. And I have to say that the specialty applications that we're involved in, they're growing well above GDP rates for many of the markets we're in. So we're seeing a lot of good traction.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay, great. And last question, Pierre, when you talked about getting your new pectin business to $100 million plus, can you do that with this business alone? Or will you need to add a couple acquisitions here and there over that time period?
Pierre R. Brondeau: We have a couple of ways to do it. I think the favorite way we have today is to replicate the kind of plant we are buying in other regions of the world, which is more of an organic approach to the growth. We're still looking at a couple of small acquisitions in that field, but acquisitions are fairly uncertain. So we want to look at both ways. We will definitely grow that business, most likely, organically, with building another plant somewhere else in the world. Could take advantage of another acquisition, but it's not absolutely necessary.
Operator: Your next question is from the line of Dmitry Silversteyn from Longbow Research.
Dmitry Silversteyn - Longbow Research LLC: Guys, a couple of questions, if I may. First of all, on the crop protection business, you talked about strong North American and Latin American sales, but you saw some weakness in Asia and Europe. Was the European weakness a foreign exchange issue in terms of sales? Or was there real demand downside? And then also, why were sales weaker in Asia?
Milton Steele: Dmitry, it's Milton here. Yes, a part of the answer on Europe certainly was the exchange, lower prices, of course, because -- with Southern European. And in Asia, it was a combination of also exchange and some lower pest pressures. But nothing fundamental to the business.
Dmitry Silversteyn - Longbow Research LLC: Okay. So there is no -- are you impacted at all in Europe by the austerity programs and lower subsidies from governments to farmers? Or is the European market like the U.S. market, it's mainly dictated by the price of commodities?
Milton Steele: No, that's not the issue, Dmitry.
Dmitry Silversteyn - Longbow Research LLC: Okay. Secondly, on the Lithium business, when you talked about exploring options for your future capacity expansion, whether in-country in Argentina or outside of Argentina, I'm a little bit -- I'm interested in following up on the line of thought of what you can do if you decide not to expand in Argentina. I mean, do you have current leases that you can exploit in other countries? Or how much groundwork would you have to do to get the business outside of Argentina up and running in Lithium if you had to?
Pierre R. Brondeau: Yes, Dmitry, we're going to stay quiet on this one, because we are in the middle of exploring options. We have a few options we are contemplating, but we will be happy to report on these options and the direction we take as soon as we are in the position to do it.
Dmitry Silversteyn - Longbow Research LLC: Okay. All right, fair enough. On the soda ash business, just -- we're seeing a second quarter in a row of declining Asian pricing. Assuming that they are on just -- on this trajectory for a couple of more quarters or even flatten out at this level, you're probably going to get into flattish comps in terms of pricing in the second half of the year and year-over-year basis. Pierre, I think you talked about -- or you just mentioned, an answer to your previous call, that the soda ash businesses is pretty solid as you enter the negotiating season for 2013. But you only had one price increase announcement this year, which, typically, if you read between the tea leaves, indicates that the business is not that strong in terms of pricing realization for next year. Just looking at the global economy and looking at the auto builds of construction, glass demand, so on and so forth, how confident are you in the soda ash business beyond the Asian pricing issue, just overall demand and pricing environment in other parts of the world?
Mark A. Douglas: Dmitry, it's Mark. I'll take that one. You're right, we have had a price announcement for the domestic market, and it's round about its normal time. And when you look at anybody that wishes to follow a second announcement, which we sometimes do, it's usually later in the summer when we do that. So the fact that we've only made one announcement at this point, I wouldn't read anything into that at this time. I would say, secondly, from a demand standpoint, as Pierre just said, we're in sold-out mode, and we have been for some time now. So we're very confident being the world's lowest-cost producer of natural soda ash that we'll be able to place our volume at premiums around the world. I would say, the other thing you've got to remember is North American demand is still some 10% below its peak of 2008. So any signs that these markets come back further from where they are today, it's going to get tighter. So we're very confident moving into the 2013 season that we have pricing leverage.
Dmitry Silversteyn - Longbow Research LLC: Okay. All right. That's very encouraging. And then final question, just maybe for Kim. On the working capital inventory, if you sort of look at the inventory turns, working capital as a percentage of sales, both of those metrics have gotten worse year-over-year. I would assume that working capital would get better, as well as inventory, as raw material pricing declines, but you're not as exposed to raw materials as some of the other chemical companies. So sort of what's behind the inventory and working capital inflation we've seen? And do you have any plans? I mean, is this a concern at all? Or is it a part of the strategy? Or kind of what's going on there?
W. Kim Foster: Dmitry, that's a good question. This is Kim. And we have spent -- we spent a lot of time working on inventories. I would like to at least offer to you, if you look, however, on a rolling 12-month basis so you can address the seasonality that we have in our businesses, we don't -- actually don't have deteriorating working capital performance and/or inventory performance. It's difficult when you take 6 months of 1 year and compare it to a sequential period of time. Having said that, Dmitry, I think the thing, the lesson we're learning on the Ag business, as you've seen, is we've continued to have some upsides realized on our Ag business. And I think you know how that works, which is if you don't have the product on the shelf and you end up having to air express it around the world, there's a lot of inefficiencies in that. And as Milton has mentioned and Pierre mentioned, there is -- we are entering into the Brazilian season. So we want to make sure that we have the right amount of inventories in the right places in our Latin American market.
Dmitry Silversteyn - Longbow Research LLC: Okay. So you would say that the inventory increases are mainly a preparation for a strong Latin American season. We should see this work down as that season comes to an end.
W. Kim Foster: Right. Dmitry, I'd like to also take, since you asked me a question, opportunity to mention something. Pierre, in his prepared remarks, mentioned that we had returned and/or committed to return already, in which case he was referring to the dividend that we announced following our July board meeting, which is payable on October, and mentioned a number of $750 million. He meant to say $570 million, which was the amount that has been returned or committed to return since the Vision 2015 program began in 2010.
Operator: Mr. Brondeau, please continue with closing remarks.
Pierre R. Brondeau: Thank you very much. Thank you, all, for your questions. I think we can all see that FMC continued to perform very well in the first half of 2012, with sales up 15% and EPS up 25%. As we said during the question-and-answer, we have begun to see some indicators of overall economic health trending downward slightly. Examples were soda ash, consumption in China and lower hydrogen peroxide volumes in Europe, for example. However, more than 80% of our portfolio is not linked to GDP cycles. We have a limited line of sight on leading indicators for the global economy beyond what we see and hear going into the second half of 2012. We continue to see a strong performance for FMC through the remainder of the year despite any macroeconomic trends. Overall, we are forecasting second half sales growth in the high-single digit and EBIT growth in the low-double digit. So the bottom line for FMC is still very positive, and we should result in another record year for sales and earnings. Thank you very much for your time.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. This concludes the FMC Corporation Quarter 2012 Earnings Release Conference Call.